Operator: Thank you all for holding and welcome to the Westwood Holdings Group Fourth Quarter 2011 Earnings Conference Call. Today’s call will begin with a presentation followed by a Q&A session. Instructions on procedure will be given later in the program. 
 I would now like to turn the call over to your host for today’s call, Sylvia Fry, Vice President and Chief Compliance Officer. Ms. Fry, your line is now open. 
Sylvia Fry: Thank you. Good afternoon and welcome to our fourth quarter 2011 earnings conference call. Before we begin, I would like to read our forward-looking statements disclaimer. The following discussion will include forward-looking statements. These forward-looking statements are subject to known and unknown risks, uncertainties and other factors, which may cause actual results to be materially different from those contemplated by the forward-looking statements.
 Additional information concerning the factors that could cause such a difference is included in our press release issued earlier today, as well as in our Annual Report on Form 10-K for the year ended December 31, 2010 filed with the Securities and Exchange Commission. We undertake no obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. You are cautioned not to place undue reliance on forward-looking statements.
 In addition, in accordance with SEC rules concerning non-GAAP financial measures, the reconciliation of our economic earnings, our economic earnings per share and economic expenses to the most comparable GAAP measures is included at the end of our press release issued earlier today.
 On the call today, we will have Brian Casey, our President and Chief Executive Officer; and Bill Hardcastle, our Chief Financial Officer. I will now turn the call over to Brian Casey, our CEO. 
Brian Casey: Thanks, Sylvia, and thanks to all of you for taking a few minutes to listen to our call today. We were pleased with our results for the fourth quarter and especially pleased with the financial results for the calendar year 2011. Despite a turbulent market environment assets under management at the end of 2011 were $13.1 billion, a 5% increase over 2010, which is due primarily to net inflows of client assets. Total revenues for 2011 were up 25% over the prior year and net income increased 30%.
 As we all know by now the U.S. equities market finished 2011 essentially unchanged for the year capping a five year period of minimal investor returns. Despite this environment our five-year performance was strong. Our assets under management grew at a five year compound average annual growth rate of 17% and asset-based fee revenue grew at 21%. Over the same time period cash and liquid investments on our balance sheet nearly tripled and we delivered an annualized total return to shareholders of 14%. All this is to say, that our conservative disciplined way of doing business has served us well, especially in difficult times like we’ve experienced in the past five years.
 For the calendar year 2011, most of our investment strategies equaled or outperformed their benchmarks with the exception of LargeCap would slightly under-performed.
 Last year’s headlines were focused primarily on global macroeconomic concerns, which completely overshadowed individual company fundamentals. Based on our 28 years of investing experience, we firmly believe that positive company fundamentals including strong free cash flow and improving balance sheet and persistent earnings growth that exceeds our expectations will once again drive equity performance in an improving economy. In fact, the month of January has been an excellent month for LargeCap with strong absolute performance in over 200 basis points of relative outperformance to its benchmark.
 Several of our other investment strategies delivered notable achievements in 2011. Our SMidCap Plus strategy, which we launched in July 2010, surpassed $500 million in assets in its first full-year. Our AllCap Value strategy had important wins in 2011, confirming that the AllCap approach is now accepted as a viable strategy in the institutional marketplace.
 Our income opportunity strategy with its focus on current income and lower volatility continued to attract new assets and we recently suppressed $1 billion in assets under management. The WHG income opportunity and the WHG SMidCap mutual funds are both rated five-stars in Morningstar.
 Our dividend growth strategy, which we acquired with the purchase of McCarthy Group Advisors in 2010, completed a 10-year record in 2011. We also generated performance in key strategies including SmallCap Value and MidCap Value, both of which finished the year well ahead of their benchmarks and well positioned in their respective peer groups.
 Significant capacity remains in many of our seasoned strategies including LargeCap Value, dividend growth, income opportunity, AllCap, MidCap and SMidCap Plus. We stepped up our marketing efforts in 2011, meeting regularly with institutional investment consultants and institutional clients to further strengthen these relationships. We also continue to explore sub-advisory opportunities, which provide access to established distribution channels without the cost of establishing a nationwide sales force.
 In the mutual fund market, our WHG Funds continue to experience strong organic growth and surpassed $1 billion in assets in 2011, just six years after the launch of our first fund. In 2011, we launched the WHG SMidCap Plus Fund and we converted the McCarthy Multi-Cap Fund into the WHG dividend growth fund.
 At year-end, we also launched the WHG Short Duration High Yield Fund. This new fund is sub-advised by SKY Harbor Capital Management, which is led by an outstanding team that we’ve worked with for more than 14 years. The fund attempts to capture the income associated with the high yield category, utilizing short duration bonds that typically have much lower volatility. This is our first sub-advised fund and we now have eight funds in the WHG Funds family, which represents a full range of specialized investment strategies.
 At private wealth market, we completed our first full year of operation of our Westwood Trust Omaha office. We're very pleased with the Omaha acquisition and beginning to see some nice new business opportunities. We’re in the final stages of hiring a business development person to supplement the efforts of our Art Burtscher and his team. We held well-attended events in Omaha and Dallas in early 2011 for our Westwood Trust clients and new prospects. We continue to see a great deal of interest in Westwood Trust offerings with 11 asset classes managed by Westwood and 5 managed by outside sub-advisors, our enhanced balanced portfolio offers our private wealth clients, excellent diversification at very competitive fees. Since its inception in 1993, enhanced balances provided higher returns with lower risk than its peer meeting and benchmark.
 We also continued our corporate development efforts in 2011 seeking attractive opportunities in the areas mutual fund acquisitions, private wealth expansion and the acquisition of products and research capabilities with an emphasizes on global and emerging markets.
 We are disciplined in these efforts and we will only pursue candidates that meet our financial criteria and present a good strategic and cultural fit with Westwood. We evaluated multiple opportunities in 2011 and will continue our corporate development efforts in the future as we seek to grow and strengthen our business and capabilities. 
 As we focused on building Westwood through organic growth and possible acquisitions, we’re also investing in the infrastructure and systems needed to support a growing business. Many of these infrastructure requirements became clear over the past year, as we evaluated a range of acquisition opportunities. 
 Our 2011 investments were focused in five areas. We increased the reliability of our critical IT infrastructure by moving the majority of our servers to a co-location data center with 24/7, 365 day redundant power and network connectivity, multi-stage physical security and environmental stability.
 A co-location facility not only improves the liability of our IT systems, it also makes our technology platform more accessible and attractive to future partners. We expect to complete the move of all of our critical servers to the co-location facility early this year.
 We upgraded our client portfolio accounting system to the advent portfolio exchange, which integrates portfolio management, performance analytics, portfolio accounting and reporting and client relationship management. The new system enhances client service and reporting while also improving operational efficiency, compliance and security.
 We also redeveloped our corporate website, westwoodgroup.com to provide a richer experience for clients, consultants, investors and other users of the site. The new website includes additional content and functionality as well as improved navigation and accessibility.
 For example, online visitors can contact Westwood in a variety of ways such as by submitting questions to ask Westwood a quarterly response to client questions by Westwood investment professionals. Additional enhancements, such as password protected content for clients and consultants will be added in the future.
 We implemented First Rate Advisor an investment performance calculation or reporting tool for our private wealth clients. This solution enhances our client reporting capabilities for portfolio performance, cash flows and asset allocation. A future enhancement will power an iPad app allowing Westwood trust officers to access performance information and client offices and other on the go locations.
 Finally, we invested in a renovation of our Dallas office space that now features a more open environment to promote collaboration and teamwork. The new space also features a number of technology enhancements including an on-site video studio that enables our investment professionals to appear our national financial programs without leaving our office.
 And it also allows us to produce videos for distribution of clients or partners. With these investments and infrastructure and technology, we’re preparing for a future that includes new products and a global reach. We believe Westwood is moving steadily in that direction and the time to prepare for that future is now.
 I’ll be happy to answer your questions at the conclusion of our call, and I’ll turn it over to Bill Hardcastle, our CFO to review our financials. 
William Hardcastle: Thanks, Brian. Good afternoon, everyone. After I review our financial highlights for this quarter, I will review some slide with you that we have posted on the Investor Relations section of our website under the Events & Webcasts link.
 For the fourth quarter of 2011, our total revenues were $17 million compared to $15.4 million in the fourth quarter of 2010. For the full-year of 2011, our total revenues were $68.9 million compared to $55.3 million in 2010.
 Comparing full-year 2011 revenue versus 2010, advisory fees increased by 31% as a result of increased average assets under management primarily due to net asset inflows as well as the impact of a full-year revenues from our Omaha Office, which we acquired in November 2010. 
 Trust fees increased 12% as a result of increased average assets under management, as well as revenue contribution from new trust assets from our Omaha Office.
 GAAP net income for the fourth quarter of 2011 was $4.1 million compared to $3.3 million for the fourth quarter of 2010. And $14.7 million for the full-year 2011 compared to $11.3 million for 2010. GAAP EPS was $0.57 per diluted share for the fourth quarter and $2.04 for the full year 2011 versus $0.46 and $1.58 for the fourth quarter and full year 2010 respectively.
 Economic earnings for the fourth quarter 2011 were $6.7 million compared to $5.7 million for the fourth quarter 2010. For the full year 2011, economic earnings were $25.3 million compared to $20.8 million for 2010. 
 Non-GAAP performance measures are defined, explained and reconciled with a less comparable GAAP financial measures and tables included at the end of our press release.
 Total expenses for the fourth quarter and full year 2010 or $10.7 million and $45.8 million, compared to $10.3 million and $37.6 million for the fourth quarter and full year 2010 respectively. Economic expenses were $35.3 million for the full year 2011 compared to $28.2 million for 2010.
 The primary drivers of the increase and total GAAP expenses for 2011 compared to 2010 were as follows: incentive compensation expense increased by approximately $3.1 million primarily due to a significant increase in pretax income. Salary expense increased by approximately $1.6 million due to a full year of salary expense for our Omaha office as well as additional hires in the Dallas office. Restricted stock expense increased by approximately 700,000 due to additional annual brands at higher market prices than -prior brands. 
 Assets under management were $13.1 billion as of December 31, 2011, an increase of 5% compared to $12.5 billion at December 31, 2010. Average assets under management for 2011 were $12.9 billion, an increase of 20% compared to $10.7 billion for 2010. The year-over-year increase in ending assets under management was primarily due to net inflows of approximately $670 million. Assets under management in mutual funds that we advise, which includes the WHG funds or $1.3 billion at December 31, 2011 compared to $917 million at December 31, 2010. This increase was due to net inflows of approximately $310 million or an organic growth rate of approximately 32%. 
 Also today, our Board of Directors approved the payment of our quarterly cash dividend of $0.37 per share. The quarterly dividend of $0.37 per share or an annual rate of $1.48 resulted in a dividend yield at yesterday’s closing price of 3.6%. 
 As I mentioned earlier, we have again prepared a few slides to review with you. The first slide includes graphs of our assets under management by channel over the last five years as well as a line graph comparing the growth of our AUM over this time frame to the value of the S&P 500 Index.
 Over the last five years, our AUM has increased from $5.9 billion to $13.1 billion, a compound annual growth rate of 17%, while the S&P 500 has essentially produced zero return over this time frame.
 The second slide is a bar graph with our quarterly asset base fee revenue and a line graph of the S&P 500 over the last five years. Our asset based fee revenue has grown from $6.9 million in the fourth quarter 2006 to $16.4 million in the fourth quarter 2011, representing the compound annual growth rate of 19%. 
 The third slide is a bar graph showing economic earnings, total dividends declared and the growth and cash in investments on our balance sheet for the years 2006 through 2011. This graph really illustrates the cash generation capability of the business. Cash and liquid investments grew from $20 million at year end 2006 to $57 million at December 31, 2011.
 That concludes my discussion of our financials and I’ll turn the call back to Brian. 
Brian Casey: Great Bill, good job. Thank you. [Operator Instructions]. Moderator do we have any questions? 
Operator: We have no questions in queue at this time. It looks like we have one question in queue. And it’s coming from Mario Gabelli  of Gamco Investors. 
Brian Casey: Mario? 
Sylvia Fry: We’re not hearing anything. 
Operator: Okay it seems that he may have muted his line after he pressed one. All right, we have no other questions in queue at this time. 
Brian Casey: Okay, we’ll give just a second in case he wants to get back. Okay well, thanks for your time today, if you have any further questions please feel free to contact myself or Bill Hardcastle our CFO or visit our website westwoodgroup.com. Thanks again for your time, have a great day. 
Operator: That concludes today’s conference. Thank you for your participation, you may now disconnect.